Operator: Welcome to the first quarter 2015 earnings release conference call. My name is Christine, and I will be your operator for today's call. [Operator Instructions] I will now turn the call over to DeAnne Gabel. You may begin.
DeAnne Gabel: Thank you, Christine. Welcome to Spirit Airlines First Quarter 2015 Earnings Conference Call. Presenting today will be Ben Baldanza, Spirit's Chief Executive Officer; and Ted Christie, our Chief Financial Officer. Also joining us for the Q&A session today are Thomas Canfield, our General Counsel; John Bendoraitis, our Chief Operating Officer; Ted Botimer, our Senior Vice President of Network and Revenue Management; and other members of our senior leadership team. A webcast of this call will be archived on the website. Today's discussion contains forward-looking statements that represent the company's current expectations or beliefs concerning future events and financial performance. Forward-looking statements are not a guarantee of future performance or results and are based on information currently available and/or management's belief as of today, April 29, 2015, and are subject to significant risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements, including the information under the caption Risk Factors included in our annual report on Form 10-K and quarterly reports on Form 10-Q. We undertake no duty to update any forward-looking statements. In comparing results today, we will be adjusting all periods to exclude special items. Please refer to our first quarter 2015 earnings press release for further details regarding our assumptions for the reconciliation to the most comparable GAAP measure. And with that, I'll turn the call over to Ben.
B. Ben Baldanza: Thanks, DeAnne, and thanks to everyone for joining us. Today, we reported strong first quarter results. Compared to the first quarter last year, net income increased 87.1%, operating income grew 86.3% and our operating margin expanded 900 basis points to a record first quarter operating margin of 22.7%. In addition to thanking our team for the strong financial performance, I want to thank our contributors for doing a great job keeping the operation running smoothly while growing our network. We've announced 38 of the new routes to begin in 2015, and over the next 2 fiscal quarters, we have added 12 new aircraft to our fleet, all while improving our On-time Performance and maintaining our high degree of reliability. Top line revenue for the first quarter 2015 grew 12.6% year-over-year, with total revenue per ASM decreasing 9.9% on a capacity increase of 25%. About 40% of the RASM decline was attributable to the ramp-up of our growth in new and mature markets, about 35% driven by price structure compression in many of our markets and the remainder of the decline was specifically driven by what we have seen in the Dallas markets as it adjusts to the capacity increases there. These same factors resulted in first quarter ticket revenue per passenger flight segment decreasing 11.7% or $9.08 year-over-year. We've always maintained that we manage to operating margin, and we believe our high-margin performance during a period when our base fares decline validates that. Lower fuel coinciding with lower fares is not an alien concept for us, and clearly, our business model is built to make strong profits with low fares. Non-ticket revenue per passenger flight segment was down 2.1% or $1.16 year-over-year. As fare levels have come down, we've seen some slight behavior changes in the take rates for bags, which contributed to the decline year-over-year. And as we mentioned on our last call, in the fourth quarter of 2014, we outsourced our onboard catering to a third-party provider under a revenue share agreement, resulting in both non-ticket revenue and associated costs being lower than they would have been otherwise, with a slight positive effect on margin. We believe we will continue to see similar non-ticket trends through the second quarter. Non-ticket remains a very important part of our business strategy, and we have several initiatives planned for the back half of the year designed to either drive more revenue or change behavior to lower our cost structure. The importance of our non-ticket strategy is never more apparent than it is during a period of yield pressure as demand for the non-ticket component is much less elastic than tickets, which we see as a huge benefit long term. On the operational side, in the first quarter this year, we had over 400 flight cancellations due to severe winter weather, nearly double the weather cancellations we had in the first quarter of last year, which was a drag on our overall completion factor. However, our controllable completion factor remained very high at 99.6%, and our system On-time Performance improved over 5 percentage points. 2015 is the first year that Spirit operational performance is being reported with other major carriers. We're happy to say that in the first month's reports, we have finished near the top in completion factor and approaching the middle of the pack in On-time. In addition to keeping the existing operation running smoothly, in the first quarter, our team launched service on 9 new routes, 6 of which were from Cleveland, the newest destination in our network. In the second quarter, we will launch service on 24 new routes, including 8 new nonstop destinations from Houston George Bush Intercontinental, 7 of which are to Latin American destination. The new routes are booking well and are spooling in line with our expectations. With that, here's Ted.
Edward M. Christie: Thanks, Ben. And again, thanks to all of you for joining us today. And congratulations to the Spirit team for delivering strong first quarter performance. Despite very disruptive winter weather, which caused a number of cancellations and nearly a 1% shorter stage link, our first quarter 2015 adjusted CASM ex-fuel decreased 5.6% year-over-year to $0.0572. Compared to the first quarter last year, the decrease was driven primarily by lower labor expense per ASM and lower aircraft rent per ASM. Labor expense per ASM in the first quarter of 2015 was lower primarily due to scale benefits from overall growth and from larger gauge aircraft. The decrease in aircraft rent per ASM was driven by a change in the mix of leased and purchased aircraft. During the first quarter, we were not active with our share repurchase program. But through yesterday, we have repurchased approximately 160,000 shares during the second quarter, which equates to about $12 million of our $100 million authorization. As we indicated previously, we plan to opportunistically repurchase shares when we see a value disconnect. We ended the quarter with $742 million in unrestricted cash. During the first quarter, we took delivery of 5 new A320 aircraft, bringing our total fleet count to 70. We have 10 more deliveries before year-end, including one this week. We have secured debt financing for 11 of the deliveries expected in 2015, 5 of which are already in service, and a direct lease arrangement for 1 additional aircraft. This leaves 3 aircraft delivering in 2015 that are not yet financed. We anticipate updating that status in the near future. Turning now to 2015 cost guidance. Based on the forward curve as of April 22, we estimate our fuel price per gallon for the second quarter will be $2.04. We have protected approximately 70% of our second quarter 2015 fuel volume, 20% of our third quarter volume and 17% of our fourth quarter volume, using out of the money jet fuel call options, which allow us to participate 100% in the movement down in fuel price. More details will be provided in our investor update filed later today. But this strategy has served us well as the cost of the competitively priced options has been more than offset by the downward price in oil and the savings in jet fuel cost per gallon. Capacity is expected to be up 32.2% in the second quarter, up 34.5% in the third and up 30.6% in the fourth, for a full year increase of about 30.7%. For the second quarter 2015, we estimate our CASM ex-fuel will be down 7% to 9% year-over-year. Our full view -- full year view of CASM ex-fuel down 6% to 8% year-over-year remains very much intact, and the successes realized by our team in the first quarter give us a high degree of confidence in our ability to continue to execute successfully throughout 2015. The Spirit story is one of a low-cost and low-fare model, and I'm very pleased and impressed to report that the team is executing very well to both sides of the strategy. With our ability to produce earnings growth and cash generation, we expect to deliver very high returns to our shareholders throughout our growth deployment period, and we'll leverage that growth and our capital mix to ensure we maximize those returns. And with that, I'll turn it back to Ben.
B. Ben Baldanza: Thanks, Ted. Our consistent reliable operational performance, solid track record in successfully launching new markets and our continued focus to improve our financial performance through lowering our cost structure position us well for the year ahead. With April mostly in the bag, based on the current fuel and pricing environment, we estimate our second quarter 2015 operating margin will be between 24.5% and 26.5%, which represents a year-over-year improvement of approximately 300 to 500 basis points. The implied RASM decline in this guidance is between 14% to 15%, which is very similar to the first quarter, if you neutralize for the much more difficult year-over-year comparison. Much like we experienced in the first quarter, we estimate about 40% of the RASM decline is driven by our growth in new and mature markets and 35% attributable to compressed fare levels in markets other than Dallas. In the second quarter, Dallas accounts for about 12% of our capacity and an estimated 25% of the second quarter RASM decline. Demand remains strong in Dallas as our load factors in those markets are now reaching and in some cases surpassing our system average. However, while fare levels have stabilized, we haven't yet seen any significant price improvements in Dallas. Due to the ambiguity in the revenue environment at the time we gave our initial 2015 margin guidance, we included a wide range of revenue outcome. As we move past the first quarter, we have a bit more visibility into the booking trends for the peak summer period. In addition, U.S. Gulf Coast jet is now trading $0.04 to $0.05 per gallon higher. Therefore, we now believe our full year operating margin will be between 24% and 27%. We very much like the position we are in. Demand remains strong. Our new and mature markets continue to produce high margins, and we are confident we can continue to drive our nonfuel cost structure lower. The robustness of our model is proven by the fact that our growth-driven RASM decline is outpaced by our growth related ex-fuel CASM benefit. Our business model continues to work very well and once again, has shown its resilience to changing conditions as our favorable cost position enables us to continue offering low fares at attractive margins. Our price-conscious customers understand and appreciate our choice-driven approach, which is driving loyalty and repeat business. Now back to DeAnne.
DeAnne Gabel: Thanks, Ben and Ted. We are now ready to take questions from the analysts. [Operator Instructions] Christine, we are ready to begin.
Operator: [Operator Instructions] And our first question is from Julie Yates.
Julie Yates Stewart - Crédit Suisse AG, Research Division: On the full year margin guide reduction, is that all driven by the increase in fuel? Or is there a component from the revenue environment as well?
Edward M. Christie: Julie, it's Ted. It's partially driven by fuel, but also partially driven by the fact that we just have more clarity on what's happening in the revenue side of things. We didn't move, really, the lower end of the range. We just -- the fuel doesn't help the top end, and then a little bit more clarity on what we see in revenue going forward helps us kind of refine it a little more.
Julie Yates Stewart - Crédit Suisse AG, Research Division: ; Okay. And just on that, so going back to the comment on the fare compression, has the level of fare compression or the number of markets in which you're experiencing this dynamic changed over the last quarter?
B. Ben Baldanza: No. Julie, this is Ben. No, it hasn't changed, but it hasn't improved either. I mean, it's sort of stable. What we see in the second quarter -- or what we can see in the second quarter is largely similar to what we've seen in the first quarter, but we have a more difficult year-over-year comp. And that's what we pointed out, that the guidance that we've announced today is really very similar to what we saw in the first quarter, but the difficult comp base just makes the number look different.
Julie Yates Stewart - Crédit Suisse AG, Research Division: Okay. But are you still -- is it only confined to the off-peak periods? Or you've seen fare compression in the peak periods as well?
B. Ben Baldanza: It's principally in the off-peak period, yes. It's -- we're seeing the same kind of behavior that lower fares in off-peak period, as we've said. The shape of peak and off-peak changes at different seasons of the year, and that's reflected in our outlook as well.
Operator: Our next question is from Hunter Keay.
Hunter K. Keay - Wolfe Research, LLC: Just to follow up on Julie's line of questioning a little bit there. Why not make the assumption that -- if there is this correlation between fares and fuel and fuel is causing some of the compression at the high end of the guide, why not make the assumption that it would be natural to assume that fares would follow that, Ben? I mean, is there a change that you're seeing in the competitive landscape, specific to maybe how other airlines are reacting to your presence, that maybe keeps the markets that you're participating in sort of uber-competitive regardless of what's happening if fuel is going higher? Is that what's changed as you've gotten, as you say, more clarity?
B. Ben Baldanza: Actually, Hunter, I'm going to have Ted Botimer comment in a minute or 2. We don't think anything has changed actually. We think what's happened in the first quarter is just continuing through the second quarter. We don't see any major changes in the competitive environment or changes in how people are either reacting to us or our consumers are reacting to us. What we have more clarity on though is, earlier in the year, we weren't sure how quickly the revenue environment might improve. Ted, do you want to comment?
Theodore Botimer: Right. And I think that, to Ben's point, we really are seeing it go up and down with seasonality. The overriding fare environment has remained very, very stable for the last couple of months, and there really are no major changes that we're seeing, to the good or the bad, in terms of the fare environment. There is a lot of stability going on right now in the fare environment.
B. Ben Baldanza: And we're very encouraged, Hunter, by the fact that volumes have recovered completely -- or virtually completely now, which suggest the only other improvement would be on the fare side.
Hunter K. Keay - Wolfe Research, LLC: Okay, I got you. And in your proxy filed yesterday, we noticed that you changed some of the executive comp drivers. You changed the 10% completion factor to 10% On-time Performance. You mentioned On-time Performance twice in your prepared remarks. So I would like some color on sort of what went behind that change. In the risk of maybe over-reading it, are you finding it maybe harder for you guys to stimulate repeat business because of the On-time Performance? Or...
B. Ben Baldanza: Absolutely not, Hunter. What the reality is, is that we've been on a couple of year mission in continuing to improve the company operationally. And our first step was getting the completion factor near or at the top of the industry, and we've successfully done that. The next step was then to bring our On-time sort of into the middle of the pack in the industry, and we set very specific goals for the year in terms of our aircraft sparing, in terms of our turn times, in terms of things without compromising utilization. And what we don't do is we don't pad our block time, like every other airline, just to look good on On-time, and we don't penalize our cost structure by putting ridiculous block. You know, if you fly any other airline, if you take off on time, you always land early. That's just making everybody's ticket prices higher. So this had nothing to do with our customer relationship. It had to do with the fact that we were becoming a more and more operationally efficient company. And the first step was completion. The next step is On-time, and we're executing well to that strategy.
Hunter K. Keay - Wolfe Research, LLC: Got you. So you're not expecting any kind of associated cost pressures with this increased focus on On-time then?
Edward M. Christie: Actually, if I can comment on that. Hunter, this is Ted. We actually see cost benefit associated with that because On-time Performance relate -- in our network, middle of the pack On-time Performance, which is really the objective. A poor On-time airline does cost money, and so we do not anticipate adding cost to drive the airline into a better position from On-time. We anticipate that actually improving our cost structure.
Operator: Our next question is from Duane Pfennigwerth.
Duane Pfennigwerth - Evercore ISI, Research Division: I wonder if you could just comment on comps for the rest of the year. I know some airlines maybe with a little bit of international revenue dynamic have suggested that this is probably the worst that we'll see for the year and sort of the comps get easier, 3Q versus 2Q, 4Q versus 3Q. I mean, do you agree?
B. Ben Baldanza: Yes. That's consistent with our expectations, Duane. The year-over-year comp does get easier in the third quarter. We're -- but we're growing capacity a little more in the third than we are in the second. But when you think about those 2 things overall, we believe that the general trend is good in that sense.
Duane Pfennigwerth - Evercore ISI, Research Division: Okay. And then, Ben, any early thoughts on a '16 growth rate at this point? I mean, as we get closer to thinking about 2016, expect some moderation. But given the opportunity set that you see, are you locked from a fleet plan perspective? Any color you can provide there will be appreciated.
B. Ben Baldanza: Well, we have an order book, and that order book would suggest growth of about 20% to 22% next year at sort of current utilization and things like that. That's probably a good number to plan on for now. I mean, we can -- we never say we're locked, but at that point, we know what airplanes are coming next year. Certainly, something could happen later in the year that would create more airplanes next year or something like that and maybe modify that somewhat. But where we're sitting now, 20% to 22% looks like the right number based on the fleet growth.
Duane Pfennigwerth - Evercore ISI, Research Division: And if I could just sneak in a last one. Appreciate your detail on the attribution on the RASM pressure in the first quarter. I wonder if you could highlight any bright spots regionally. Specifically, your capacity that touches the Northeast, are you seeing any difference in trend there?
Theodore Botimer: This is Ted Botimer. We are seeing -- we're happy, again, with our spool up in Cleveland, and I think that, that's -- the growth in the market that we've introduced has been going like we have anticipated. So I think that there are bright spots when you have a lot of new markets growing in. You are definitely going to see that. In Latin America, we are absolutely seeing good spool up in those markets as well. So internationally, we're happy, and we're happy with the introduction of our new markets.
Operator: Our next question is from David Fintzen.
David E. Fintzen - Barclays Capital, Research Division: Just going back to sort of that parsing out of the different factors sort of into TRASM. Can you just talk through a little bit of the geography? I know in the past you sort of talked. Obviously, you separated out the Dallas, but where are sort of the geographies? And are there any geographies, like a Texas, or more Southwest competitive or different competitors that stand out as being sort of particularly noticeable? Or is it -- is this something you're seeing sort of broadly across the network in terms of the fare compression development of it?
Theodore Botimer: Based on what we're seeing is -- we're seeing Dallas, which we've talked about in the past. There's -- but the loads, again, are improving there. And overall, there really are not trends that are kind of identifiable in terms of what's happening. There are some markets that are under fare compression, other markets that are not. Some of it's related to capacity increases from competitors, and some of it's just making sure that we are rightsized in the markets that we're serving.
B. Ben Baldanza: And I will say -- Dave, this is Ben again. We don't see increases or overly aggressive or irrational behavior by the industry. We see people doing things, reacting to the environment in kind of appropriate ways. And that's created lower fares in off-peak periods, which is generally good for consumers, and we're better at making money with that than anybody.
David E. Fintzen - Barclays Capital, Research Division: Okay. And then if we're going to be in this lower fuel environment and then fare compression is going to sort of stay with us, does it start to change a bit of the route selection? Not necessarily -- you obviously have a large list of opportunities, but is it going to start to change and evolve kind of how you work through opportunities? Does it make a certain set of routes better, bring them up the list? Just how do you think about that?
B. Ben Baldanza: Over the last number of years, I think we've done a really good job with capacity deployment, where we have downsized capacity that is not sort of meeting the kind of margin hurdles we put and growing in places that we believe can absorb more at the margin hurdles we expect. And so the environment we see now is no different than that. There are some things working better, some things that are maybe a little behind. And overall, we'll continue to manage our overall capacity in a very aggressive way, to deploy our airplanes in the highest-margin opportunities available to us. Certainly, that might mean what we end up doing between now and next summer is a little bit different than if fuel prices were high, but I can't tell you exactly what we would have done in that environment without seeing what the prices were and what the overall industry capacity was either. So we feel really good about the rest of the year. We feel great about the growth. We feel great about the way the growth is spooling, and we're just reacting to this environment like we've reacted to every different environment over the last 5 years.
David E. Fintzen - Barclays Capital, Research Division: Okay. All right. That helps. Just maybe quickly and just to make sure I completely understand the Dallas comment. It doesn't look like you've made much, if any, change in the schedules. Is that because you're waiting to see sort of volumes back, you're waiting to see sort of the pricing? Or have you seen enough that you feel like Dallas is kind of at a -- from a schedule and capacity standpoint, kind of where it needs to be in a bigger sense?
B. Ben Baldanza: No. We love Dallas, and Dallas has returned back to the -- it's returned back to sort of system average load factors and what -- the volumes we expect. The first step after a big capacity increase in the -- in a big metro market was sort of bringing demand, bringing -- the market has sort of absorbed this capacity increase now essentially because loads are back to normal. So that's a really good position. So that's not the time to be pulling capacity at that point. That's time to say, "Okay, there's plenty of people here. There's plenty of -- the planes are full, so now the next step is what we do to, over time, move the pricing up where we can.
Operator: Our next question is from Joe DeNardi.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Ben, I'm wondering if we could just focus a little bit on the guidance and what's included, what your assumptions are in that. I think the initial guidance that you gave for '15 assume that pricing got better, particularly in Dallas, beyond first quarter as the off-peak started to wear off. And I'm wondering if that assumption has changed at all since you haven't really seen that improvement. Or are you still assuming that, that gets better? And maybe how does the 2 new gates that Southwest has out of Love affect that view?
B. Ben Baldanza: Overall, I think the change in the guidance is just related to just more visibility. We put a 4-point range -- or a 5-point range, 24% to 29%, early in the year because we really -- we knew that there were a lot of -- there was fare compression in the off-peak in a lot of markets, and we knew Dallas was a particularly pressured area because of the big capacity increase there. And we just didn't know what was going to happen. It's not like we know perfectly what's going to happen now either, but it's more in -- we've gone through 3 full months of the year, almost 4. We have bookings a few months beyond that, so we've got pretty good visibility on a much bigger chunk of the year now. And the encouraging thing to us is we're not taking the downside any further down. What we're doing is just refining the upside to say, "Well, things are going to get better at a pace that we can't perfectly predict." And now we can sort of see that pace a little better, so 24% to 27% makes more sense to us now. But it's not specifically related to Dallas or the non-Dallas markets. It's also the overall revenue environment. Like I said, in Dallas, we like the trend there, that the volumes are back to normal, and that's really good.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. I'm just trying to understand, is there still the assumption that pricing there gets better throughout the year?
B. Ben Baldanza: Well, when every plane is full and you practice revenue management, that tells you that there's opportunity to -- for revenues to get better, right?
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then on the behavior change you're seeing on the -- I guess, the take rate on some of your bag fees, how does that, I guess, affect the plan for you guys to incorporate seasonal pricing into the bag fee?
B. Ben Baldanza: It doesn't change. The take rate change you mentioned on bags is a really pretty minor thing. We don't -- it might even be temporary. We're not sure. It's a very small thing. We felt the need to call it out only because it was a change other than just the onboard catering thing. But we don't see that as a structural change in consumer behavior or anything. The peak season surcharges on bags are very specifically tying supply to demand. And the reality is when there's higher demand and there's peak season times, there's more demand for everything. And so when there's more demand, prices should go up, and that's what we're doing with the bag surcharge.
Operator: Our next question is from Savi Savanthi (sic) [Savi Syth].
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Just on the cost side. How much of the unit cost decline is being driven by gauge versus this ownership change or finance -- how you're financing the aircraft?
Edward M. Christie: Savi, it's Ted. We haven't -- I don't think, we've specifically called out all the different components because there's more than just those 2. There were quite a few things I mentioned on the call in February that we start to realize the benefit of in this quarter and beyond, the remainder of this year, that are either contractual or structural changes in the business beyond just ownership and gauge. But I think ownership and gauge are clearly the 2 largest drivers. You may think about them as kind of equals maybe, just for kind of a landscape typesetting thing. But there's a lot of other things that help unit costs going forward, too, some of those things we called out before.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Got it. And then just on the campaign -- kind of the Spirit 101 campaign that was launched last year, just to kind of help people understand the product better. How is that progressing? Are you seeing, like, less complaints or better kind of repeat customers? Or anything from that campaign?
B. Ben Baldanza: It's working fantastically, Savi. I mean, it's -- we hear from our airports all the time that they're dealing with less conflicts at the airport because more and more customers come to the airport understanding the business model, understanding the unbundled structure and how that benefits them for the lower total price. We're seeing more balanced media on the airline. We're seeing in our overall feedback, including our complaint rates and our positive feedback in terms of what people are talking about. And so overall, we're really, really happy with the way that's going, and we're going to keep pushing it more and more. We think the more people know about what we do and how that results in the lower total price for them, the more they understand and appreciate what the business model does for them.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Got it. That's good. If I may just quickly ask -- and maybe you're not ready to talk about this. In the beginning of the call, I think you mentioned, Ben, some ancillary initiatives towards the end of the year. Is that something we need to stay tuned for? Or have you already rolled those out?
B. Ben Baldanza: Stay tuned for now. The point is that we manage ancillary like we manage every part of the business, is we're very active, we watch trends closely and we continue to try to innovate to make things better. So we see what's happening in the market. We see how consumers are reacting. We see what's working and what isn't. And we'll do more of what works well and less of what doesn't work so well. And that's true in all parts of our business, and it's true on the ancillary side as well. So if we see a little ancillary pressure, because -- especially because we outsourced catering and don't get that revenue anymore in the ancillary, we'll find ways to mitigate that.
Operator: Our next question is from Helane Becker.
Helane R. Becker - Cowen and Company, LLC, Research Division: Ben, just a couple of questions about your decision to expand more into Latin America. I know, in response to one of the questions, you said that those markets were -- or you were pleased with those markets or something like that. Can you just, given the currency issues and maybe the lack of GDP growth in those markets, talk about where you're seeing specific strengths maybe?
B. Ben Baldanza: Well, as you know, Helane, we're -- our international might be a little bit different than sort of industry when they talk about international. Our international is all relatively near U.S., in Caribbean, Central America and northern South America. And overall, we sell virtually all of our tickets in U.S. dollars, so we don't have any material FX issues at all. That doesn't affect our business right now, so that's not an issue for us. And the GDP growth in those markets doesn't really drive it so much. If anything, what it does is it creates more demand for a lower fare product. So the -- in the case of our growth out of Houston with the 7 international markets, those are all to cities we already were flying to, either from Fort Lauderdale or Dallas or San Diego. And so what it does is it makes those stations even more efficient, gives us a little more affinity to the customer bases in those markets because now we can take them not only to Florida or not only to Dallas, but also to Houston as well. So overall, we see it as very accretive growth, very consistent with our cost structure and consistent with our overall growth. We're very excited about it.
Helane R. Becker - Cowen and Company, LLC, Research Division: Okay. That's really great. I just have a follow-up on Savi's question about Spirit 101. I know one of the issues was that the GDSs were not very good about explaining to the -- their customers Spirit 101. So are you seeing -- is all -- what you were talking about in response to her question. Are you seeing that then do a better job as well in driving better understanding of the product?
B. Ben Baldanza: Yes. In fact, we've been partnering with our GDS partners on this to try to fix this side of it. They are doing a little bit better job. They're also sharing e-mails with us so that if a customer buys us on Expedia or Orbitz or something, we can contact that customer just after their purchase and send them the education that they would have gotten had they bought on spirit.com. So what we're finding is while there still is a little gap between customers who buy on spirit.com and customers who buy through the GDS, we're seeing that gap close pretty quickly. And a lot of that is because of the partnership that we're having with those groups because they don't want to disappoint their customers either, right? So we're working together to make that happen well. And we want all of our customers educated, and they support us in that effort.
Operator: Our next question is from Mike Linenberg.
Michael Linenberg - Deutsche Bank AG, Research Division: Ben, you may have said this earlier, and I apologize if I missed it. But when we look at the percentage of your markets or the percentage, I guess, of your capacity that is under development, whether it's the March or the June quarter, I guess under development would be anything less than 12 months. How does that compare? Like for June quarter 2015, how does that compare -- or how will that compare to what it was in June quarter of 2014?
B. Ben Baldanza: I don't have the exact numbers in front of me, but there'll be more under -- in development in June of this year than June of last year because it's an overall bigger growth year for us. So I'm not sure if we have -- we can get the number really quickly for you right here. But around 15% to 20% of the markets in sort of development or growth, and we're just a bigger -- I mean, difference, if I said higher, that's what I meant. And -- but it's just a lot bigger growth and more growth in the second and third quarters than in the first quarter. So a lot of stuff is relatively new. And some of that newness is more capacity in existing markets, and some of that newness is brand-new nonstop markets. And for all of that, we feel very good about how it's booking, how it's meeting its expectations. We set tough hurdles for the things we do. We expect things to do well out of the gate. And we have understandings of what is acceptable and not acceptable performance, and we're very encouraged by the growth. We understand the RASM pressure that, that creates, but as I said in my prepared remarks, that the CASM benefit is greater than the RASM hit for that set of markets. That suggests we should be doing even more of that because if we can take a RASM decline but lower our CASM even more than that, that's really good for margin, that's really good for earnings. And so therefore, we should do more of that, and that's exactly what we're doing.
Michael Linenberg - Deutsche Bank AG, Research Division: Great. I couldn't agree more. And then just -- sorry, Ted.
Edward M. Christie: I'd just like to clarify for Ben, too, the -- this is Ted. The -- it's not a perfect -- [indiscernible] isn't the perfect indicator of markets under development, but it's good enough. And I think [indiscernible] was pretty close. In 2014, we grew about 17% in the second quarter, and this year, we're looking at 32%. So 15-ish more percentage points makes sense.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, great. And then just my second is that -- you have been very disciplined about getting out of markets that don't work. And in the past -- I mean, we can always come up with a list of what you started and backed away from. And I'm just curious, over the last couple of years, as your network has become larger and more dense and -- moving into new market maybe has been less risky because that market may be connected to some of your other cities. Have you seen a meaningful reduction in markets that you withdraw from because they just -- they don't ramp-up at the rate at which you had originally expected?
B. Ben Baldanza: Yes. I think that's fair. In general, we -- it is not common for us to have to pull out of a market that we started. We often have to make changes. We'll change frequency or we'll change gauge, sometimes up or sometimes down. So it's -- we're never perfect in our forecasting about what's going to happen, and we usually can make more money by reacting in some way. But it's not that common that, that extends to the point of, "We just can't fly this anymore." More often than not, it's just a capacity or a frequency change.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, great. If I could just squeeze one last one in. Just on -- the GDP printout this morning, 0.2% [ph] in the March quarter was low. And if you strip out the larger-than-expected inventory build, I mean, effectively, the U.S. economy contracted, like, 0.5%. And I think there's some concern that some of that's carrying into the June quarter. And as you -- I heard all the commentary about pricing in Dallas and competitive capacity. I didn't really hear anything on the GDP front. And I was just curious -- any metrics out there that you look at or even booking out beyond 2 or 3 months, where maybe you're just not getting the uptake? And I would say this within the context that, historically -- although, you do depend highly on the price-sensitive passenger, historically, you tend to do well in weak GDP environments. So I'm just -- is anything on the macro front anything that you can give us that maybe you're seeing out there that's actually reconciling with some of the GDP data that we're seeing come out from the Feds?
B. Ben Baldanza: No. It's an interesting point, but we don't see anything that you're not seeing. And what I will say is that we have not -- for the last 5 years, I don't think we've seen any correlation really to GDP and our revenue performance other than, like you said, we've tended to do quite well in periods of tepid GDP growth. And so -- but overall, we're playing -- we're not an index fund at Spirit, right? As a sector, GDP may affect things somewhat, but at our end of the business, at the low end of the demand curve, that commodity price-driven end of the sector is not a GDP-driven sector. That's much more of a business driver -- a business travel driver, and that's not the business we're in. So we can't look at a macro statistic like that and gain -- glean any real -- any accurate assessment as to what that's going to mean for our revenues. We're just looking at our bookings and our overall demands. And like we've said, demand looks very, very strong, and that's encouraging to us.
Operator: Our next question is from Stephen O'Hara.
Stephen O'Hara - Sidoti & Company, Inc.: I was just curious about just -- last time you talked about those 3 issues with the revenue. And just wondering what is the general -- I mean, is there a good rule of thumb -- or what's your expectations for that to kind of right itself and then potentially improve over time? I mean, what's the general time frame for these types of situations in these markets to -- and I obviously understand that all situations are different. But I mean, can you just talk about that a little bit, how you think about that?
B. Ben Baldanza: Yes. Well, we said that about 40% of the RASM decline was basically our own doing, our own growth and in our growth markets. We understand how RASM evolves in our markets, how the markets spool, and we understand how that changes. So for the 40% of the RASM decline that's related to things we're doing, I think we can have a better sense as to how that will change, and we're very comfortable with the pace of that change. If you look at our investor deck, for example, you can see the green line that shows new markets and the red lines that show mature markets and how that margin tends to improve in the second year of flying. And so overall, we feel really good about that. For the 60% that is not our own stuff, we just -- we're learning as we go, and we'll see what happens. Like we said, in Dallas, we feel really good about the fact that loads are back to normal and the market has essentially absorbed all of its capacity increase. And that suggests very encouraging things to us for Dallas going forward. For other markets, we think it's just -- it's kind of rational to have lower prices in off-peak when fuel prices is lower, and you can make money filling empty seats. So I think that a lot of the RASM decline in off-peak that we're seeing is tied to fuel, not because anybody is doing anything wrong, but because they're doing things right. And certainly, if fuel prices are going to go up, we'd see RASM improvements, I'd say. But overall, we're okay with where things are, and I think how well much things improve is specifically a RASM-related comment. And since we're margin kind of focused, our margins are getting better and our margins are improving. And our guidance this year is for higher margins than last year. So all of that suggests this is a pretty good year. For RASM to improve, that would be good. And that would help all of us and help the industry going forward, but de facto, it's not the one thing we're all here hoping for.
Operator: Our next question is from Bob McAdoo.
Bob McAdoo - Imperial Capital, LLC, Research Division: Some more on Dallas. What I've typically done for the last few weeks or the last few months has been to watch Dallas-Washington fares on your major competitor there, the Love Field guy, as a kind of a sense of how fares are building or how much they're throwing out there in terms of $59 and $79 and $99 tickets. And I see that on that one, it's getting harder and harder to find a really cheap seat. Like, if you want to get a $55 ticket, you kind of got to go 6:30 in the morning and buy it out aways. Is that kind -- and that's obviously a nice development. I guess that's what you're saying when you say the loads are filling up because they're not offering as much junk out there. And I guess, the real question is, what you're seeing in the Dallas-Washington market, is that really going on throughout all the new Dallas markets that they're in? Or is that kind of some aberration?
Theodore Botimer: This is Ted Botimer again. The -- what we're seeing in the Dallas-Washington market is pretty similar to the trend that we're seeing overall in Dallas. The great thing about Dallas right now is the capacity seems to be getting absorbed, and that is the first step to everything rising back up because in order to get rates, you need to have a full aircraft in most cases. So that is similar to what we're seeing. So we are looking at Dallas right now and seeing some of the similar trends that you're seeing, is that things are improving. And the major measure that we're looking at there is that the capacity in Dallas is being absorbed now, and that's the beginnings, generally, of an upward trend for rate. It's the only -- it's a necessary condition for rate to improve in a marketplace, is the rational absorption of the capacity that's been thrown at a market. So again, we feel pretty good about Dallas from that perspective.
Bob McAdoo - Imperial Capital, LLC, Research Division: And then one other kind of piece about that is what -- now as opposed -- as compared to a month or 2 or 3 ago, you're seeing that, like on the weekends -- the next week or 2 -- weekend or 2 or 3 or 4 out, you're seeing $200-and-some fares, where it wasn't that long ago you were seeing $89 fares on a Saturday even or Friday night. Does that change the booking curve that you get? Or is that -- with more confidence that their close-in fares are going to be $200-and-some, does that make it easier for you to kind of hang back and maybe try to fill your flights up later at a higher fare? Is that -- does that work?
Theodore Botimer: Absolutely. That's pretty much how revenue management's working. I mean, what we try to do at Spirit is offer the highest fare where we can fill up our aircraft. I mean, that's something that we've talked about a decent amount before. And as we -- as the environment is more conducive to slightly higher rates when -- again, when capacity has been absorbed overall, we're going to see that kind of behavior across the board. That's just the ebb and flow of revenue management and how we do it and how everyone does it to a large degree.
B. Ben Baldanza: Bob, this is Ben. Let me point out also that the traffic base that Spirit carries is -- may overlap some, but not much, with other airlines, including the carrier you're talking about. And so the reality is that different airlines, to various degrees, have the ability to attract higher-fare-paying customers. At Spirit's end, we don't have much ability at all to attract any high-fare-paying customers, but that's what our business model is, is to have a cost structure that can make money only on the low fares. And so as other airlines behave rationally, which we believe they've been doing since fuel dropped, I mean, probably since before then too, but we haven't seen irrational activity. We expect that rationality will continue with other places, just like we expect it to continue here. And that's sort of the -- that's why we all feel encouraged here, basically.
Bob McAdoo - Imperial Capital, LLC, Research Division: Yes. I was just kind of reacting to some comments that you made on some of the -- I guess, maybe Ted made a couple of months -- a couple, 3 months ago, where he was commenting that as they have $59, $69 fares with all the bags and everything else thrown in, it's tougher and tougher to get people to focus on you guys, where you have the extra fees. And I just wonder -- so if people are moving to the $200 -- people are buying up the $200 seats, it seems like, obviously, people are less -- your people are less likely to be able to find a Southwest seat that works for them. They might -- I'm just trying to make sure I understand -- that I'm seeing it right.
B. Ben Baldanza: That might be true. I think you're thinking about it right, Bob. I mean, again, we feel pretty good about the margin guide that we've put out there and how that compares on a relative basis, too.
Operator: Our next question is from Dan McKenzie.
Daniel J. McKenzie - The Buckingham Research Group Incorporated: Following up on the non-ticket revenue opportunities. I know you're not ready to share a lot, but I'm wondering if you can tell us if they're already factored into the full year guide. And then just on timing, should we think of them as third quarter or perhaps fourth quarter events?
B. Ben Baldanza: In general, we should think about it as back half of the year. We can't sort of tie it to third and fourth quarter yet. And yes, they're sort of in the guide. I mean, one of the reasons we put a range is the -- we try to put sort of a 50-50 look out there, where things might get a little worse or might get a little better. And so that sort of weighs all that in place. Our guidance sort of includes everything we're thinking about in terms of the -- in terms of what the airline could be by the end of the year.
Daniel J. McKenzie - The Buckingham Research Group Incorporated: Understood, okay. And then, I guess, Ben, with respect to the capacity under development, I appreciate the commentary you've shared previously that there's not really a lot of pricing difference between new and mature markets, just given Spirit's pricing strategy. But I don't believe we've seen a year where Spirit's RASM drops 10%, even during the financial crisis, when, I think, RASM was down maybe 2%. And I guess what I'm wondering is, based on what we're seeing this year, is whether that trend between developmental markets and new markets -- or pardon me, development markets and mature markets perhaps changes looking ahead.
B. Ben Baldanza: We don't think so. In addition -- I mean, you're right, you've not seen our RASM drop 10% in other times. But those were also higher fuel times, and those were in lower growth times. So with higher growth and lower fuel prices, we think what we're seeing on the RASM side is consistent with the environment we're in. And again, we think we're better prepared to deal with this kind of environment than most because we're getting a huge ex-fuel CASM good guy that most of our competitors are not getting on top of this. So for -- again, I've said this a couple of times, but the revenue hit from our growth is more than offset by the cost good guy from our growth. And so that's a really good ratio to have, would suggest that more growth is a really good thing.
Daniel J. McKenzie - The Buckingham Research Group Incorporated: Okay. And then if I could just squeeze in a final one here. Ted, I'm just wondering what balance sheet metrics, if any, you're managing the business to, so leverage or debt to capitalization or perhaps a target liquidity position as you look ahead.
Edward M. Christie: Yes. Dan, we think about liquidity, obviously, being an important piece of the business when you're a growth carrier like us and you've got our objectives with regard to CapEx and financing in there. So liquidity is clearly an important measure, and that then ties to the leverage position of the business, which we think a lot about as well. So that's clearly where we're focused as we're managing how we finance the growth, how we use our cap -- I alluded to, in my comments, that we use our capital mix to enhance the return to our shareholders, and it is tied to really those primary metrics.
Daniel J. McKenzie - The Buckingham Research Group Incorporated: Understood. But not metrics that you're, I guess, willing to share at least at this point.
Edward M. Christie: No. Although, I think, we've said before that, clearly, our liquidity position is amongst the best in the industry when you think about it on a metric basis. And we've done it on purpose because, a, we're a little bit smaller than everyone else; and b, we have a lot of CapEx to finance. And so that gives us a lot of leverage when we're talking to third parties. So I wouldn't expect that our liquidity position is going dramatically drop from where it is today on a metric basis. And then as leverage -- as it relates to leverage, we've -- when you capitalizable our leases using some appropriate measure, we anticipate that our leverage position remains pretty stable actually over a period of time. And in some cases -- and we expect it to maybe gently even decline or improve is what I mean by that on a metric basis. Because the vast majority of the leverage that we take is related to the growth, and so we anticipate that, that will be more efficient leverage going forward because of the way -- because of how we plan to finance the fleet. And because of the very way that, that lease leverage is measured, it -- we believe that, that will also benefit going forward because it's a fixed amount rather than an amortizing amount.
Operator: Our next question is from Hunter Keay.
Hunter K. Keay - Wolfe Research, LLC: I'm just -- I'm having some trouble just reconciling some of the commentary to the margin guide, and I think people I have been e-mailing with during this call have been, too. So I mean, let's talk through some things here. You guys are saying reasonably good things about Dallas loads. I'm hearing that off-peak pricing is causing a lot of the issues. But 1Q is behind us, and that's the most off-peak quarter you have. You're saying fare compression is not getting worse. I'm hearing good things about CASM as it relates to some of the initiatives that you have. Just trying to figure out now why -- if the new high end of the margin guide is not the actual new margin guide itself. I mean, is keeping the low end intact sort of just an absolute worst-case scenario that assumes some sort of leg down in the demand environment or like an irrational fuel spike or something? Because it just feels like you guys should still be able to do at least the high end of the guide just based on the way you're categorizing the rest of the business right now.
B. Ben Baldanza: Well, Hunter, this is Ben. And then Ted might want to comment as well. It really is just more visibility. It was -- we struggled a bit early in the year with what to say about the full year margin given the really large ambiguity we saw in the overall revenue environment. Not knowing what was going to happen in Dallas, not knowing how other airlines were going to react to lower fuel in peak year periods and all that was yet to come. So we put this very wide range out there that said "Look, if everything gets better tomorrow, we could hit really good numbers close to 30%. But if nothing gets better, maybe we will be at, like, 24%." And now we're a few more months in. We've got bookings into almost the middle of the year. So we can just refine that a little bit. I don't think our margin guide is at all inconsistent with any of the commentary we've made. What we've said is we have a little bit better understanding, but we also know that things didn't happen in February and March that might have happened at the time we put out that guide. So we're just taking what's happened, what we see right now and what we expect to come and that changes what was 24% to 29% to 24% to 27%. It doesn't suggest anything is getting worse. It suggests that we're learning, as we go on, how quickly things are getting better.
Hunter K. Keay - Wolfe Research, LLC: Okay. So you're saying that the high end was more of a best case than the low end was a worst case?
B. Ben Baldanza: Yes. I think that's absolutely fair.
Hunter K. Keay - Wolfe Research, LLC: All right. And then another quick follow-up. Can you talk about Fort Lauderdale, Ben, how you've seen it trend over the last -- how was it, first of all, over the last couple of quarters? And how is it trending going forward?
B. Ben Baldanza: Fort Lauderdale is going great. Right now, the airport's going through a pretty major -- some major construction. The new runway is operating now, but now there's lots of terminal construction that is making overall capacity adds a little bit tougher. Fort Lauderdale continues to operate above our system average margins and is a very, very strong contributor. It's still our largest place where -- our largest concentration of capacity, and it operates above the system average margins. So we couldn't be happier with Fort Lauderdale right now. And as they clean up the airport, meaning get the construction done and things like that, that will create opportunity for more growth here for us.
Operator: Our last question is from Joe DeNardi.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Ben, I just wanted to follow up on the capacity outlook a little bit. Just given how you've been able to digest all these aircraft over the past quarter, I mean, what's the bias? Does that give you more confidence that you can grow kind of at this rate going forward? And do you view it as -- you're guiding to, call it, a 25% operating margin for the year. Do you view it as you're leaving money on the table by not growing more?
B. Ben Baldanza: Well, as we've said before, 2015 is a bigger growth year for us in percentage terms than any year we've had since the business model changed. So going forward, we won't -- we're not going to have successive 30% growth years. So we're not going to grow as much, although, we'll be growing from a bigger base and we will still be having very healthy growth, 20% to 22% next year, for example. So we'll still be a high-growth carrier, but not necessarily at the same rates now. We've said for a while that between now and 2021, a growth rate of around 20% is what the airline is seeing. That's 30% this year. Certainly, our growth is accretive this year. We're happy with the growth. It's going great, and we probably could make money if we were growing money -- more money if we were growing even faster. But there's practical realities to that. We have to hire and train pilots. We've got to negotiate with airports. We got to get the planes deployed. So this was an aggressive growth year at the start. Now that we're partway through it and actually more than halfway through the year when it comes to actually planning the growth for the year, we feel really great about our ability to execute spectacularly to the growth plan.
Operator: And we have no further questions.
B. Ben Baldanza: Thank you.
Edward M. Christie: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.